Operator: (Operator Instructions) Welcome to the General Mills Second Quarter Fiscal 2010 Results Conference Call. I would like now to turn the conference over to Kris Wenker, Vice President Investor Relations.
Kris Wenker: I’m here with Ken Powell our CEO, Don Mulligan our CFO, and Jeff Rotsch who is the Executive Vice President and Head of our Worldwide Sales Organization. I’m going to turn the microphone over to them in just a minute. Before I dive into my usual housekeeping items let me first thank you very much for joining us on this call and for your interest in General Mills, we do appreciate it. I also wish all of your a wonderful holiday season. Our press release on second quarter results was issued over the wire services earlier this morning. It’s also posted on our website if you still need a copy. We posted slides on the website too; they support the prepared remarks we’re going to make this morning. Those remarks will include forward looking statements based on management’s current views and assumptions. The second slide in today’s presentation lists the factors that could cause our future results to be different than our current estimates. With all that I’ll turn you over to my colleagues, beginning with Don.
Don Mulligan: As you’ve seen from our financial results we released this morning, General Mills resilient portfolio of leading brands continues to deliver strong growth. I’d summarize today’s key points this way. First, our sales continued to grow, even as we lapped robust par year increases. Sales growth in the first half was ahead of our plan, led by good gains in our US Retail segment. Our margins improved in the second quarter driven by a number of factors including lower input costs, good performance at our plants, and continued holistic margin management or HMM benefits. We’re adding $0.12 to our EPS guidance bringing the range to $4.52 to $4.57 per share before any mark to market effects. This represents growth of 14% to 15% from comparable earnings of $3.98 per share in fiscal 2009. As we move into the second half of fiscal 2010 we’re making additional investments in marketing and merchandising programs to fuel continued growth of our brand this year and into fiscal 2011. We’ve announced a second increase to our 2010 dividend. The new quarterly rate of $0.49 per share brings our 2010 expected dividend per share to $1.92, a 12% increase from last year. Slide five summarizes our second quarter results. Net sales grew 2% on top of 8% sales growth last year. Segment operating profit grew 13% including a double digit increase in media spending. Net earnings totaled $566 million and diluted earnings per share increased to $1.66. These results include a net gain related to mark to market valuation of certain commodity positions in grain inventories. That non-cash gain totaled $0.12 per share this quarter; significantly better then the $0.49 reduction of EPS recorded in the year ago period. Excluding the mark to market impact from both years, as well as the gain on the sale of Pop Secret in last year’s second quarter, diluted earnings per share grew 13% to $1.54. Our top line performance was a key driver of this growth. Slide six summarizes net sales by segment on an as reported basis. US Retail sales rose 4% on top of 10% growth in the same period last year. International sales grew 7% as reported. Growth here was helped by favorable foreign exchange, the price realization mix also contributed to this sales increase. Our Foodservice segment reported a 16% decline in net sales but that includes the impact of divestitures and nix pricing tied to wheat markets that are currently below year ago levels. Underlying performance in this business segment was actually quite strong, well ahead of industry trends. Ken will talk more about that in a few minutes. Slide seven shows Pound Volume contribution to net sales growth with the impact of divested product lines noted below the chart. On a reported basis, pound volume contribution to net sales was flat with divested products reducing growth by two points. Pound volume for the US Retail segment was up 2%. Pound volume for international was flat but that includes a two point reduction from divested businesses. Divested businesses significantly reduced volume in our Bakeries & Foodservice segment. Pound volume was down just a few points on a comparable basis, again, ahead of overall industry trends. Gross margin recovery contributed significantly to our second quarter results. Our gross margin as reported was 42.8%. As you see on slide eight, that’s up sharply from last year. When input cost inflation and mark to market effect significantly depressed our margin. Excluding mark to market effects, our gross margin was 41.2% for the quarter compared to just over 37% a year ago. Several factors are contributing to this underlying margin improvement. Our commodity and fuel costs were below year ago levels in the quarter. We started this fiscal year with an assumption of very low inflation in our supply chain input costs. However, we’ve been able to hold costs below our plan levels through the first half. We no longer expect to see input cost inflation for the fiscal year in total. We’re running more cases through our plants which creates volume leverage benefits. Our mix continues to be favorable and our HMM efforts are generating a cumulating benefit with good productivity savings from logistics in particular during the second quarter. We continue to reinvest funds generated by gross margin improvement to drive top line growth. Our media spending was up 37% in the second quarter was we continued to target a double digit increase for the year in total. We’re focusing our spending on high ROI ideas with particular emphasis on multi-cultural consumers and digital marketing. We’re investing strong in international markets to build our global brands. Slide 10 shows our segment operating profit results for the quarter. Combined segment profits grew at a double digit rate reflecting good gains by both US Retail and Bakeries & Foodservice. International profits declined as reported but once again that’s a reflection of negative foreign exchange effects and divestitures. Excluding these factors, International operating profits would show a strong gain, including a double digit increase in consumer marketing spending. After tax earnings from joint ventures grew 15% to $38 million for the quarter. On a constant currency basis, sales for our CPW joint venture grew 4% and Haagen-Dazs Japan sales grew 1%. Before I shift to the balance sheet, let me quickly cover a few additional income statement items. Lower debt levels reduced interest expense by 8% for the period. We expect full year interest expense to be comparable to 2009 levels, consistent with our first quarter guidance. The effective tax rate for the quarter was 33.1% basically in line with the year ago level. We’ve modified our annual outlook slightly and now expect our tax rate for the year to be between 33.5% and 34%. In the second quarter, we recorded a $24 million non-cash charge for exiting some underperforming US Retail products. We’re still targeting $30 million of restructuring expense for the year in total. Turning to the balance sheet, on slide 13 you can see that our core working capital grew 7% in the quarter driven by a decline in accounts payable. That decline resulted from the timing of the quarter end with the Thanksgiving holiday. Accounts receivable and inventories were up roughly in line with sales growth. Cash from operations was up sharply through the first half to $987 million. We used some of our cash for capital investments to support our business and then prioritized returning cash to shareholders through share repurchases and dividends. Our average diluted shares outstanding were down 2% in the quarter and 3% for the first half. As I mentioned earlier, we’ve announced our second dividend increase for the year bringing the expected fiscal 2010 full year dividend to $1.92 per share, a 12% increase from 2009. That represents a yield of 2.8% at recent share prices which we think is pretty attractive given the interest rate environment. General Mills annual dividend has grown at strong rates over the last five years, as shown on slide 15. We paid dividends without interruption or reduction for 111 years and our goal is to continue increasing dividend as our earnings grow. We have an expanding track record of consistent superior earnings growth. Slide 16 shows our diluted earnings per share progress for the last five years. Adjusted for certain items that affect the comparability of our results. Our new fiscal 2010 guidance of $4.52 to $4.57 per share before any impact from mark to market effects represents a 14% to 15% increase from comparable 2009 results. The fundamentals of our business are strong and we’re delivering good performance in both the top and bottom line. We’re committed to driving continued gains focused on the five growth drivers that have been key contributors to our recent performance. One of those key strategies is partnering successfully with our customers. I’d now like to turn the microphone over to Jeff Rotsch who will describe our collaborating with retailers today.
Jeff Rotsch: I’m pleased to have this chance to talk with you about how we are partnering with our retail customers to lead profitable growth in food sales. Let me start with a little background on our sales force. We have nearly 2,000 sales professionals, some here at our headquarters, some in our region sales office and more than 600 that are part of our national retail organization. This last group is the people who are in stores every single day. When you consider that our US Retail segment generates over $10 billion in annual sales, we average out to around $5 million in sales per employee. It’s a very efficient group and an experienced one too. Our typical sales person has 11 years of service with General Mills. These folks have expertise in 25 categories across three temperature states; refrigerated, frozen, and shelf stable. With this breadth of products touching many areas of the stores, we have a significant impact on driving profitable growth for our retailers. Our retail partners are continually evolving. Ten years ago traditional grocery chains represented close to three quarters of our US Retail business. Today, they’re 60%. New formats for mass merchandisers to club stores, to dollars stores and drug stores, now account for 40% of our US Retail business. There’s a reason all these retailers carry food. It drives traffic into their stores. Slide 21 shows the number of annual shopping trips per household for a variety of consumer products. As you can see, consumers shop for food far more often then other categories shown. Food is also profitable. Slide 22 shows you that. Based on a recent study by Industry Consulting Group food products generate nearly $7.50 of profit per square foot in a typical grocery store. That’s more than twice the profit generated by our non-food categories. General Mills top ten categories are even more profitable, driving more than $8.00 of profit per square foot. Our customers want to work with us to increase growth in these key categories in the store. The categories we compete in lead sales growth for our retailers because they are large and on trend with consumer demand for taste, health, convenience, and value. Slide 23 summarizes retail sales for our largest categories in just measured channels alone. Each of our top 10 categories generates over $1 billion in annual sales and our brand hold significant dollar share positions within these categories, making us the number one or number two branded player in each of them. Our categories are also growing faster then average. Through the first half of the fiscal year, sales in the categories where we compete grew 3%. That’s really outpacing total food and beverage sales. It’s important to note that underlying this good sales growth is good solid volume growth. As shown on slide 25, our categories are posting steady growth in the number of units sold. Our businesses are also driving category growth across many retail channels. Slide 26 shows our deliveries measured in equivalent cases are growing in a variety of retail outlets through the first half of the fiscal year. While our volume in traditional grocery stores is growing at low single digit pace, our business in super centers, club stores, and discount drug and dollar stores is growing faster, up double digits. As a branded food leader we really need to support retailers and drive growth in three ways. First, we need to drive sales growth on our established products. These are the items that our consumers appreciate for their high quality and regularly put them on their shopping lists. Second, we need to innovate to develop successful new products to meet changing consumer needs. We’ve had some great wins this past year with Macaroni Grill dinner kits, Pillsbury Savorings frozen appetizers, and Yoplait Delights yogurt parfait. We’ve also introduced new varieties of existing products like high fiber Progresso Soup and Banana Nut Cheerios which is a best selling new cereal introduced in calendar 2009. Third, we need to invest behind our established and new products with strong levels of advertising support. Advertising increases brand awareness and communicates news on our products which ultimately drives traffic into our stores. Our sales people leverage our products and advertising to increase merchandising and product distribution. Our national retail organization that I mentioned earlier works directly in our customer stores, ensuring they have the right product selection on the shelves and the right products merchandize in order to optimize sales. We also have a broad portfolio of tools and capabilities. We provide category and shopper insights to retailers through tools like our Virtual Store where we can simulate the shopping experience with a variety of shelf arrangements. Our Shopper 360 tool is an in depth survey we conduct to identify how and where different types of consumer shop. These tools help our customers better understand their shoppers and determine the most effective product selection and store configuration. Our promotion and pricing analytics determine the best merchandising strategies to attract consumers and we have some great merchandising platforms such as Box Tops for Education and our tie in to the popular TV show The Biggest Loser. These capabilities combined with strong brand building advertising and new product innovation are how our customers really drive profitable growth. As we bring news to our categories and invest behind our brands we’re driving baseline or our non-promoted sales growth. The most profitable products for retailers are the ones that sell for full price. We are the industry leaders with a 12% share of baseline food sales and our baselines have been growing around 2% in the last 12 months, well outpacing total food and beverage categories as well as the other top 10 branded manufacturers. When it comes to merchandising we have been very disciplined in our promotional spending. As a result, we’ve been able to decrease trade cost per case in each of the past four years. We entered this year with a goal to hold our trade cost per case flat to last year, but as you know promotional activity has been increasing in the industry. As we look out in the second half we see a few product lines where we’re going to need to increase our merchandising activity in order to protect market share. As a result, we now expect our overall trade cost per case will be up modestly over last year but will still be below rates from two years ago. Our sales capabilities have been particularly valuable lately as retailers have increased their emphasis on store brands and SKU rationalization efforts. Despite these retailer actions we’ve actually increased our distribution as we’ve introduced successful new products and have held distribution on our established brands. Over the last 52 weeks our total points of distribution are up nearly 2% and we’re the only top 10 branded manufacturer to post distribution growth, as shown on slide 32. We’re also a growth leader for our customers. General Mills accounts for more than 3% of total food and beverage sales in Nielsen measured channels. The latest 52 weeks we’ve generated more than 4% of industry sales growth, well ahead of the majority of the top 10 branded food manufacturers. We’ve also been getting positive feedback from our customers on the strength of our brands and our sales force. In the annual Cannondale survey retailers rated General Mills number four among our peers. More importantly, we’ve seen strong improvement in our composite score; it’s up five points over the last two years. This Cannondale survey asked retailers to evaluate manufacturers on eight different criteria. One of the questions they ask is: “Which manufacturer offers the best combination of growth and profitability?” We are very pleased to say that we are rated number on this measure this past year. We’ll be working to raise our scores on all of these metrics in the years ahead. I’m confident we can because we have great brands, great tools and capabilities, and I think have the best people to partner effectively with all our customers to grow both our businesses, our and theirs very effectively. With that let me turn it over to Ken Powell.
Ken Powell: Clearly the talent and the skills of our sales force are a competitive advantage for General Mills. As you’ve heard both Don and Jeff describe, our businesses are performing very well as we move into the second half of our fiscal year. Consumers are shopping our categories and appreciate the nutrition, the convenience and the value of our leading brands. Our input costs are coming in a bit better than planned. We continue to reinvest in our businesses at increasing levels. Advertising spending was already planned to be up by double digits and we’re adding more. As Jeff described, we’re making some limited tactical increases in trade spending in response to heightened competitive activity. Foreign exchange is a bit less of a drag then we’d planned but it will continue to impact our reported results for the year. Remember that back in July we told you that roughly 85% of our FX headwind relates to transaction effects and we hedged some of this exposure for fiscal 2010. All in, the strength of our overall performance has allowed us to raise our earnings guidance for the full year. Our US Retail business is performing particularly well with sales up 5% through the first half of the year. That’s on top of 11% growth in the same period last year. Big G is leading US Retail with sales up 10%. Key baking season has been good for our Pillsbury and Baking division, driving 5% and 4% sales growth for those divisions respectively. Snacks and Yoplait are up 4%. Sale for Meals are up 1% year to date despite relatively tough comps. While Small Planet Food was down 4% reflecting soft organic food industry trends, our Cascadian Farm Cereals and Larabar line recorded good market share gains. This good net sales growth has been supported by good volume growth. Over the past year and a half we’ve seen above average price increases taken by food manufacturers to deal with sharp input cost inflation, then followed by little to no pricing in recent months. As slide 39 shows, we posted steady volume gains throughout this period. This good underlying volume performance has been a key to our results. We’ll work to keep our sales and volume momentum going with a variety of marketing events coming in the back half. Once again, General Mills is teamed up with The Biggest Loser on our Pound For Pound Challenge. For every pound consumers pledge to lose, we’ll donate enough money to deliver a pound of food to feeding America food banks. Totino’s a sponsor of the Winter Dew Tour of Action Sports. This April marks the 44th Pillsbury Back-Off, America’s longest running recipe contest. Shrek is back this spring in another movie and will tie in with a variety of products from cereals to snacks. We also have a good lineup of new product introductions planned. Wheaties Fuel will hit store shelves in January and so will Chocolate Cheerios, our latest addition to our best selling Cheerios franchise. Yoplait will be introducing a line of Greek Style Yogurt, and Nature Valley will be bringing chocolate to the line for the first time here in the US with a new Dark Chocolate Granola Bar. We also expect continued good contributions from many of our first half launches. Products like Yoplait Delights Yogurt, and Wanchai Ferry frozen entrees are exceeding our expectations and getting great consumer response. Moving into the second half we expect continued good growth for our US Retail segment. Our categories are growing. Our plans for the back half include additional new product innovation, consumer market and merchandising reinvestment. For the full year, we’re targeting low single digit net sales growth including the impact of one less selling week in fiscal 2010. We believe we’ll deliver operating profit growth well above our original plan. For our Bakeries & Foodservice segment, reported results certainly don’t tell the full story. Net sales decreased 16% in the first half but divestitures accounted for more than half of the decrease year to date. Index pricing tied to wheat markets drove most of the rest. The operating environment for this business segment is still challenging. We remain focused on the customer channels and products that have the best opportunities for growth. As a result, our sales with Foodservice distributors were down only modestly in the first half. Our sales in convenience stores grew 4% as we gained distribution in this channel. In terms of our branded products, cereal sales matched year ago levels, sales for Yogurt are up 5% and snacks are up 7% through the first half. This very deliberate mix strategy of focusing on our branded products and the best channels is working. Over the past several years we’ve grown our operating profit for this segment and so far this year favorable mix including the absence of divested businesses, coupled with lower input costs and strong performance across our supply chain has driven significant margin expansion. I don’t think we’ll hold this strong case for the full year but we do expect to show good margin expansion for this segment in fiscal 2010. For the full year, we’ll maintain our strategy of focusing on our branded products and the customer segments with the best potential for growth. We still expect full year sales and volume to be below last year’s due to divestitures, lower index pricing and the continued weakness in the industry. However, earnings are now expected to exceed 2009 levels and longer term we still like our growth opportunities for the half trillion dollar US market for food away from home. Outside of the US our business in generating good growth. In total, International segment net sales were up 4% through the first half on a constant currency basis. Sales in Canada grew 10% excluding currency effects led by strong cereal performance. Grain snacks are also performing well. Sales in Europe matched prior year levels through the first half as increases in grain snacks and Old El Paso Mexican products were offset by slower sales for Haagen-Dazs Ice Cream. In Latin America first half sales grew 2% with good performance on local brand such as La Saltena Pasta and Diablitos sandwich spread. That growth would be even stronger if you excluded the impact of divested businesses in this market. In the Asia/Pacific region sales were up 6% in the first half. Sales in China were particularly strong with solid contributions from Wanchai Ferry Dim Sum items and Haagen-Dazs moon cakes. Let me say a quick word also about our Cereal Partners Worldwide joint venture. Net sales here are up 3% through the first half on a constant currency basis. Economic challenges in Europe continue to have an impact on this business; however, we’re seeing good growth in France and other southwestern European markets. Australia and Mexico also are performing well. CPW remains focused on its core cereal brand and is supporting them with increasing marketing investment. In addition, they continue to expand their reach in emerging markets such as Russia and Southeast Asia where they already hold solid share positions. We expect CPW to post volume and share gains for the full year and longer term we see continued category growth potential as per capita cereal consumption increases in worldwide markets. For our International operations in total, foreign exchange will continue to have a negative impact on our reported results but on a constant currency basis we continue to target mid single digit sales growth and double digit operating profit growth for the year. Let me summarize my comments this morning by saying that our business model continues to work very well. It starts with Holistic Margin Management, our unique discipline of leveraging productivity, mix and price to offset input cost inflation and protect our margins. Keeping our margins healthy allows us to invest increasing levels of consumer marketing to support our brands. You just heard Jeff describe how we’re leveraging our great brands and sales expertise to drive profitable growth for our customers. All these things combined are helping us fuel sales growth for our brands and our categories around the world. We’re beginning to turn our thoughts to fiscal 2011. Our additional advertising and merchandising investments are expected to fuel sales growth for the remainder of this year and provide momentum going into 2011. As we’ve told you before, we think the current operating environment represents a great time to innovate. We’re investing in new product development to keep our innovation pipeline full, and we’ve got a good lineup of new items coming next year. While input costs are currently favorable we don’t expect that to be a long term trend. We believe we’ll see renewed input cost inflation in fiscal 2011 and we expect inflationary pressure on ingredients and energy over the longer term. Its critical that we’ve got a great pipeline of HMM initiatives in place to help offset future inflation. In total, our brands and categories are performing well. They’ve proven to be resilient in the current economy and we expect their strong performance will continue as the economy improves. We see excellent prospects for continued top tier sales and earnings growth in the years ahead. You’ll hear more about our plans for the remainder of this year and for 2011 at several upcoming events. On January 8, Don Mulligan will host our Midyear Update in New York. Joining Don will be John Church, our Senior Vice President and Head of Supply Chain Operations. John will be talking about our HMM initiatives. Ian Friendly will give you an update on our brand building initiatives in US Retail. Then I’ll see you all at CAGNY for our breakfast and presentation on February 16. Then finally, please mark your calendars for an Analyst Day in Minneapolis in late June where we’ll outline our growth plans for fiscal 2011. We’ll be sending you more information on that event in the spring. That concludes our prepared remarks and we’ll now open the call to questions.
Operator: (Operator Instructions) Your first question comes from Ed Aaron – RBC Capital Markets
Ed Aaron – RBC Capital Markets: I was hoping you could maybe elaborate a little bit first off on the meals category. It looks like that category was down maybe a little bit in the quarter. Within that could you talk a little bit about what you’re seeing in soup? I think the press release you talked about actually seeing good growth in that part of the meals business but the recent sell through trends have been fairly weak so just trying to reconcile that.
Ken Powell: Your second question was on which segment within the category?
Ed Aaron – RBC Capital Markets: Soup.
Ken Powell: We had a low single digit growth in the meals category for the quarter and that was in comparison to a very tough comp. I think one of the issues in the category is, as you said, for the overall segment is the soup category which is running down some year to date. We see the issue there fairly tactically at this point as we compare, particularly this quarter to the quarter year ago we had very high levels of support concentrated in the second quarter both media and trade promotion. We have a much more balanced plan this year that really covers the full soup season but the spending levels are down some from the second quarter year ago. We think that that explains much of the difference. We continue to feel the soup category and the ready to soup category is a great place for consumers responds really well to innovation. We’re very happy with our high fiber soup launch. We’ve got new advertising on the air which perhaps some of you have seen which is very focused on the taste benefits of soup and of Progresso Soup. We see that year over year comp as the issue right now. There may be also some overhang from the negative advertising that we saw in the category last year. We expect that to recede over time and this is a big category and a great consumer category and so we’re quite optimistic going forward.
Ed Aaron – RBC Capital Markets: Could you maybe elaborate a little bit when you talked about the need to dial up the promotional spending just given the environment? Can you elaborate where you’re seeing that perhaps the most, just category wise?
Ken Powell: With selected categories and that will unfold as it unfolds. I think really I would just repeat what Jeff said which is we monitor this obviously. We want to be in the competitive zone from a merchandising standpoint and we feel that there are some categories where we’re not fully there right now. On a very selected and a very precise basis we’re going to add some merchandising. I would say the total impact for the year, if you wanted to look at our merchandising cost per case, we’re talking about a few cents of increase. This is very careful and very selected.
Jeff Rotsch: I think there are some key categories we want to make sure that we are competitive in but nothing really out of the ordinary. Really reacting to day to day pressures in the categories.
Operator: Your next question comes from David Palmer – UBS
David Palmer – UBS: Your gross margins are reaching that 40% type level that you had about six years ago and that doesn’t seem to be long term barrier. Perhaps you could give us some considerations about long term growth margin potential, given your base case of steady inflation in fiscal 2011 and beyond, how are you thinking about that potential and what things can we think of that could help us get comfortable about a long term growth in that number?
Don Mulligan: We are very pleased obviously with our gross margin performance, as you said we recovered back to where we were several years back. As we look forward, as Ken alluded to, whether you look at our F11 expectations or longer term we see a return of inflation, we believe that our HMM initiatives will be substantive enough to offset that inflation. As we think about margin improvement it’s going to come from a couple of different areas. One is mix management which has been a key contributor to us for the last several years and that mix within the divisions within the segments and certainly across the segments. The second is that we continue to gain scale within our International business and we’ve highlighted before if you look at the main growth drivers internationally our key platforms of cereal, healthy snacking, soup, premium ice cream, and the convenient meals, those all have operating margins above our company average and will certainly help average up our results as they grow. The last thing in our Bakeries & Foodservice division the restructuring that we have had underway for the last several years, which we are clearly seeing the benefits of in this year’s results, will continue to hold. We don’t believe that the performance this year at our Bakeries & Foodservice is a one year phenomenon; we think we’re reaching a base level for that business to grow from. As Ken alluded to as the economy improves and we get better trends in the industry we think we’ll benefit from that as well. Those are probably the key aspects that I would mention that gives me confidence that our gross margins will continue to hold and expand slightly and give us opportunity to continue reinvest back in the business both in terms of our brand support, our sales capabilities, and our international infrastructure.
David Palmer – UBS: Do you anticipate that you, perhaps even the competition, are anticipating that the consumer is going to be more willing to try new things this next year and that we’re going to see maybe not in the first calendar quarter of 2010 but perhaps as early as then and increasing through the year a pace of innovation pickup as folks maybe held back their pipeline this year and are letting it out a little bit more next year. How should we think about that?
Ken Powell: Our view, as you know, on innovation in this environment has been that it’s been a great time to innovate. Our pace of new product innovation has not declined at all during the last couple years. Really, we’ve had some terrific successes really going back over the last three years and this year’s been no different. Yoplait Delight which we launched this past summer, we thought it was a great idea and its well ahead of expectations. Wanchai Ferry frozen meal kits has been a very strong success for us. We’ve got new cereals coming here in January; Wheaties Fuel and Chocolate Cheerios which we think is going to be a very strong entry. We like the looks of the Greek Yogurt segment which is still emerging but becoming strong on either coast. We think we’ve got a great tasting entry in Yoplait Greek. The direction that we’ve given to our US and our International teams on innovation is full steam ahead. We think that that’s really been a great time to have that orientation.
Operator: Your next question comes from Vincent Andrews – Morgan Stanley
Vincent Andrews – Morgan Stanley: My question maybe relates to a little bit what the section that Jeff was came on the call for. I’m curious; you highlighted the huge channel migration that’s been going on for a while now. We’re also seeing some of the traditional retailers are starting to report challenging quarters as they’re lowering price themselves trying to keep traffic in the store. What are you hearing from them in terms of their view on how they want pricing to proceed on an ongoing basis? In other words, are they comfortable sacrificing that margin themselves or are they starting to come to the manufacturers and asking for give backs?
Jeff Rotsch: If you analyze and get in a little deeper in what’s going on in a lot of those retailers, perimeter pricing kind of follows commodities. When I talk perimeter I’m talking dairy, mean, bakery, etc. produced so forth. That’s really where some deflation has hit them, I think taking their top line down. Center store, which is really where we compete it’s been fairly stable is what I would say and have very good source as you saw in my presentation of their profit. They are continuing to look to us to bolster that whole area and make sure that we continue to bring innovation to them and really drive that center store profit really which has been carrying them. The perimeter has been a very competitive tough area and as I said that deflation has really hit them there and actually hurt their top line a little bit.
Vincent Andrews – Morgan Stanley: Do you think it’s a completely bifurcated issue center versus perimeter?
Jeff Rotsch: Completely is probably an overstatement. I would say leans that way extremely heavily though, very heavily.
Ken Powell: The thing that I would add to that is I would say 90% of the conversation that we have with our retail partners is about growth. They really want to talk to us about their particular center store categories, that’s where we focus. They want to talk about what we can do together to drive growth, what kind of innovation we can bring to excite consumers and bring them into those categories. I would say that that is the vast, vast majority of the conversation with our retailers.
Jeff Rotsch: Our mantra we take to these customers is leading profitability growth. How do we lead their profitable growth in these categories that are growing beyond their expectations? That’s really what we’re trying to do.
Vincent Andrews – Morgan Stanley: It’s really not a price point conversation. We’ve been hearing a lot of stuff that innovation was becoming very price point oriented, is that not the case?
Jeff Rotsch: No, it has not been. We partner with them and bring them a lot of other capabilities which I touched on today, intellectual capabilities to really drive that top line and drive that bottom line for our customers. That’s really what we try to do.
Operator: Your next question comes from Chris Growe – Stifel Nicolaus
Chris Growe – Stifel Nicolaus: I wanted to follow up on a couple of the questions we’ve had and in relation to your promotional spending. November seemed to be a month that was quite weak across a lot of the IRI data and I’m curious if you saw that same degree of weakness and maybe if you had a better explanation for what happened in that month? Maybe it’s just a month and a blip but do you see it as a trend where the consumer is kind of belt tightening still if you will and that’s what’s driving some of your promotional increases?
Ken Powell: November for us was for us, our shares have actually over the last 12, 6, and 3, however you want to look at it, and our shares have been very constant sort of modestly up over the course of the year running around 25. November was a very challenging comparison for us for a variety of reasons having to do with the promotional concentration and planning that we had last year versus this year. While our share was very much in line with what we’ve seen over the past many months, in November it was down from a peak a year ago. Frankly we expected that and planned for it. Our merchandising plan is very balanced over all four quarters this year and we knew November would be tough for us. As we go into the second half we have continued very good levels of support and good merchandising activities. We expect to see good share development and continued good top line through the end of the year.
Jeff Rotsch: Our categories in the month of November were actually up almost 1%. The issue was last year was our largest month in terms of comp on the consumer take away side. We’re up against a very tough month but our categories continue to do well and we did fine within that. We have a very balanced plan and I think what you’ll see is a good run out here for the next six months.
Chris Growe – Stifel Nicolaus: It doesn’t sound like you see much of a change in the consumer that may have driven some of that weakness, I guess that’s encouraging. In terms of the gross margin, you gave some good breakdown last quarter of in rough terms half the gross margin is driven by volume and mix. Could you give that same degree of disclosure this quarter as well, given that big improvement in the gross margin?
Don Mulligan: We had a significant drop in our cost of sales this quarter. About 70% of that, a little over 70% was due to the change in mark to market where we had a credit this year and charge last year. Of the other 30% about two thirds of that was rate and mix which is really driven by the strong plant performance, the strong HMM initiatives we see and some favorable mix that I referenced earlier. The balance is the reduction in COGS is from the divested businesses that we exited last year. That’s the break out but the biggest single component was the change in the mark to market.
Chris Growe – Stifel Nicolaus: Could you tell us how much the FX negatively affected your International division from a profit standpoint? That was obviously some of the transaction costs are still a negative for you given the translation turned positive.
Don Mulligan: As we said at the beginning of the year we expected a $0.15 EPS negative impact from foreign exchange both transaction and translation. As Ken referenced today a significant portion of that transaction was hedged so we continue to see that coming through. We expect to be a few pennies better than that. We still expect a negative drag about $0.12 to $0.13 for the full year which is consistent with what we saw at the end of the first quarter.
Operator: Your next question comes from Eric Katzman – Deutsche Bank
Eric Katzman – Deutsche Bank: It’s not exactly clear to me why interest expense should be flat. You’re running right now at a 360 million run rate for the year versus 390 million last year. How exactly are you assuming that rates go up so much that you’re going to be flat year over year?
Don Mulligan: There are a couple things, one is that last year we did have a fairly significant reduction in our debt in the second half that we’re rolling over now as we get into the reduction in our total debt balance we’ll probably be less in the second half then it was in the first. The other thing is given the long term rates we are looking at potentially terming out some of our commercial paper which would have an impact on our interest expense this year.
Eric Katzman – Deutsche Bank: Obviously the team you manage has been very strong, the results speak to that. The one thing that I always have difficulty with is it seems like every single category that every company talks about is the most important category to the retailers both in terms of sales and profits. Yet the industry is facing pressure from retailers to cut skus and I think you guys saw that in Pop Secret and your decision to exit out of that business. I’m wondering what categories from your perspective maybe you’re not involved in them but what categories are seeing pressure from the retailers because they truly don’t stack up in the top core pile or what have you?
Jeff Rotsch: Part of that was really in my pitch where I went through food versus the health and beauty aids and non-food and so forth. There is pressure though literally in very category. There is sku rationalization going on by categories, the customer cuts across the store to make sure each of the skus is donating profit to the customer’s bottom line. I did show on that slide that our categories do contribute and that really is a very good study we did on a per square foot basis with an outside company. If you look at health and beauty aids, paper packaged goods, etc. a lot of these that are bulky that take a lot of space on the shelf that don’t have the turns or the margin with those turns to contribute profit those are the ones that they’ve been skinnying back on. Our categories, thank goodness, and part of it is due to our good products we have on there but part of it is due to we’re fortunate that we are in categories that are still growing quite nicely and still contributing I’d say very good bottom line profits. They have looked across our categories, sku rationalization has gone across cereal, a number of different categories and we’ve actually fared quite well. I showed you the distribution where we actually have gone up in number of items this year not down. We’ve been fortunate to continue to sell a good mix of products that drive a lot of profit for them.
Ken Powell: If you go back many years through heavy proliferation of flavors and line extensions in a lot of these categories that we are in, General Mills is usually the leader in those categories. We tended to be, I think you would find this very typically across many categories, we tended to the be the guy that was squeezed on shelf space so we were often a little bit under shared versus how we actually turned, because they were trying to squeeze in some marginal items. What we’ve said, really very consistently, as we’ve had this conversation with retailers and as you’ve asked us about over the last year. We really thought that this effort by retailers to prune their categories and get it down to the high turning items would benefit us and that in fact is what you’re seeing. Really I think the last several times we’ve reported to you we’ve been able to tell you that our distribution is actually up. I think that that’s true for the latest quarter yet again. This is an environment we think where with leading brands that turn well, we will gain distribution and that is exactly what is happening.
Jeff Rotsch: Across all categories those brands that are numbers three, four, five, etc. they are the ones that are really scratching and scrimping and trying to stay on the shelf. It’s been a very difficult time for them.
Eric Katzman – Deutsche Bank: I’m asking to put on more of an industry hat then a General Mills hat here but it seems like the concern among investors, at least what we hear is every company in calendar 2010 is talking about an absence of pricing but volume driven growth with promotion backing that up. What I hear from investors is the fear that well if everybody is building in volume growth assumptions and everybody’s got this big gross margin tailwind to spend back into the business, why isn’t this going to be a fight to the bottom? Maybe you can comment on that as to why investors should not fear that kind of scenario in 2010?
Ken Powell: What we see has happened over the last couple of years was a period of very high inflation a year ago, really the highest in many, many years, followed by a fall off, a return to normal prices this year which is meant really zero inflation so you’ve had that up and that snap back down. Of course this year that’s meant margin recovery and significant margin expansion which in some categories has led to somewhat more intense promotional environment. As we look going forward we think we’re going to move a little closer to normal. We’re planning on business model in line with business model growth or we have low single digit volume growth which we would typically see year in and year out with potentially some pricing. We expect to see a return to some inflation in our input markets. We’re already seeing that in some areas, we’re seeing dairy prices for example are starting to ease up some. Coincidentally as we see that we’re seeing the promotional intensity in the Yogurt category ease off. That’s really the scenario that we see, low single digit levels of volume growth with a little bit of pricing, a return to some inflation which we think we’re well positioned to offset with our HMM initiatives. That’s the kind of environment that we can manage very, very well through.
Operator: Your next question comes from Alexia Howard - Sanford Bernstein
Alexia Howard - Sanford Bernstein: I wanted to ask about the distribution increase that was on the chart in the presentation. I think it was up 1.8% and I think that’s a Nielsen metric. Could you describe which product category, what kind of outlets you’ve been able to get that distribution increase in? Is there more of that to come?
Jeff Rotsch: That is a Nielsen metrics so that is measured channels. I would add that non-measured channels has been even stronger then that for us as our number of skus carried in those non-measured has gone up even faster so I did not talk about that. That has really been across a number of our key categories. Cereal is a beneficiary of that, grain snacks has been a beneficiary of that. We have some very strong distribution gains across a number of those categories. My sense is it will continue for us. We have a number of new items we are introducing and the good news is our established brand items are turning quite nicely so they are not in jeopardy right now. I think we will be able to add to that year on year. We have a pretty good track record over the last five years of adding distribution year on year and my sense is that will continue.
Operator: Your next question comes from Ken Zaslow – BMO Capital Markets
Ken Zaslow – BMO Capital Markets: When you did the breakdown of the cost of goods sold you didn’t mention anything about commodity prices being lower or higher. Can you just ensure that that’s how I heard it? I just want to make sure because I think you said two thirds rate mix and one third divested, there wasn’t any comment on commodities.
Don Mulligan: Within rate would be where we capture the inflation in commodity movements. Its part of that rate and mix figure that I mentioned.
Ken Zaslow – BMO Capital Markets: In terms of looking at the 2011 when you guys say prospects excellent for continued top tier growth and earnings growth, is that fair to imply that you’re looking to say that your long term business model should still be appropriate for 2011 at least that? Is that a fair commentary?
Ken Powell: Very much so. That’s absolutely right and we believe strongly in the strength of that model. That’s our starting point.
Ken Zaslow – BMO Capital Markets: You talked about the different channels, are there certain channels which General Mills has under penetrated or where there might be some more outside gains in terms of gaining share or how do you see the different channels laying out over the next couple years?
Jeff Rotsch: I mentioned in my comments that we’ve seen high single digits across some different channels that we have not been as strong in, in the past. Club channel we’ve had around for a long time but we’ve had a good break through there with some new items getting in with some good rotations going in. Our club business is up double digit. Our Drug, Dollar and Discount business is also up double digit. Those are channels that in the past we probably have not spent as much time on that we have really focused on here over the last four or five years and really is growing nicely. I see that growth continuing as we move forward. My sense is we will continue to add items there and get rotations and turns in a lot of those alternate channels that now are really becoming very mainstream for us.
Ken Zaslow – BMO Capital Markets: The patterns of your growth that you showed in the exhibit is similar to what you’d expect going forward?
Jeff Rotsch: Yes it is.
Operator: Your next question comes from Todd Gravett – Bank of America
Todd Gravett – Bank of America: I wanted to ask a little bit about the balance sheet. According to our calculations your leverage of 2.2 times is down not only from a year ago but also I think it’s about the lowest it’s been since the Pillsbury acquisition. I heard your comments about terming out some commercial paper earlier, can you update us on your thinking in terms of the balance sheet. It seems like you’ve got some dry powder that you could use for acquisitions. Can you tie that in to how you’re thinking about acquisitions and also potential share buy backs?
Don Mulligan: As we said at the beginning of the year on a short term tactical basis we were looking to pay down some debt this year. To ensure that we get to the ratings both the ratings and the outlook that we want from all three rating agencies, we’re confident we’ll do that as this year unfolds. The result of that as you mentioned is we are reaching leverage ratios that are as strong as they’ve been since before the Pillsbury acquisition. We think they do merit the kind of ratings that we’re looking to secure. As we go forward, our projections or our expectations on cash usage and plans remain the same as they have been which is we’re not looking to build a cash balance, we’re going to return cash to the shareholders through dividends, through share repurchase. At the same time we’re going to make sure that we have adequate reinvestment in the business to ensure growth and to drive the cost savings projects. You’ll continue to see that aspect of our shareholder return model be very consistent with what we have talked about and delivered against over the last few years. As far as terming out the commercial paper that I mentioned, again that’s really just tapping into the fact that today’s long term interest rates in absolute terms are as low as they’ve been in any recent memory and we think they’re a good opportunity to term out some of our ongoing debt balances. We’re going to continue to look into that and may well take advantage of it in the back half of this fiscal year.
Todd Gravett – Bank of America: Related to commercial paper, historically at least the last several years, you’ve held quite a bit more of your short term debt, specifically commercial paper. Is this a change in philosophy that you’re trying to term out more of the debt and have a larger fixed portion of debt?
Don Mulligan: Not necessarily. Actually I would expect over the next few years we’ll get back to the ratios of a third of our debt being commercial paper. Again, when you look at today’s interest rates where you can get 10 year paper for less than 5% and 30 year for less than 6% its kind of hard to turn your back on that so its really more taking advantage of today’s interest rate environment.
Operator: Your last question comes from Terry Bivens – JP Morgan
Terry Bivens – JP Morgan: As we look at the numbers, it looks like there’s been a lot of gnashing of teeth over this cleaning up of action alley at Wal-Mart. It looks like General Mills should be less affected by that then most companies given the fact that two of your top three are in the refrigerated case. Our other information is you seem to be doing extraordinarily well in Yogurt there perhaps even picking up some share in cereal. It looks like as we look at the difference between what Nielsen says and what your reported results are that Wal-Mart is a pretty heavy contributor to this alt channel thing. Is that a reasonable supposition there?
Ken Powell: As Jeff said and really showed you in the slide in his presentation I would say that really across the board in those newer channels area we’re doing quite well. We have a good relationship with Wal-Mart and I would say that we’re seeing good solid broad based growth there across our categories. As Jeff said just a moment ago, we also like the opportunities that we see in the club channel, dollar stores have really emerged as a great opportunity for us. I would say that our growth really is nicely distributed and broad based and Wal-Mart continues to be a great partner for us. And our traditional stores had growth in that first half too of almost 1% so low single digits. Very nice across the board, very balanced I would say.
Terry Bivens – JP Morgan: As you look at the ready to serve cereal category it looks very rational to us right now. Your dollar share is up it looks like sales volume are up, ditto for your biggest competitor. As we look at it we see some risk that perhaps the number three player would need to become more promotional and kind of upset the apple cart. Have you seen anything that suggests that may be in the offing or do you see kind of continued rationale at cereal?
Ken Powell: I would echo your initial comment which is we think the category is quite stable and as you said the rational right now and driven by innovation and good growth in the category. That number three competitor that you referenced had some really nice consumer brands, they’re really outstanding franchises and we would guess that as they just digest and integrate those brands they will figure out how to build those brands.
Jeff Rotsch: I would echo Ken’s comments on rational, its been very rational and the metrics are very quite nice over the first six months with baselines up, incremental up in that category and also dollar sales up in the category. It looks very rational, it looks like nice growth pattern for us and we feel very comfortable that it’s going to continue.
Kris Wenker: Thank you everybody for dialing in. If there are follow up please give me a shout and we’ll try and help. Happy Holidays!
Operator: That does conclude the conference call for today. We thank you for your participation and as that you please disconnect your lines. Have a great day.